Ward McConnell: Good morning, ladies and gentlemen. This is Ward McConnell. We look forward this morning to tell you how your company did in the first quarter and will ask Carrie Majeski, our President to read the numbers to you.
Carrie Majeski: Thank you. I’m going to start first with our forward-looking statements. You should note that some of the statements made during this call maybe considered forward-looking statements. Forward-looking statements include but are not limited to statements relating to our market position, strategies for growth and future results of operation. Forward-looking statements are inherently subject to risks and uncertainties such as competitive factors, difficulties and delays and developments, manufacturing, marketing and sales of Art’s Way product, general economic conditions and other risks and uncertainties described in Art’s Way’s periodic reports on file with the Securities and Exchange Commission. Actual results may differ materially from anticipated results and Art’s Way does not undertake to update its forward-looking statements. Thank you all for joining us today. I would like to just point first to our news release for the quarter and hit the highlights that we reported in that news release. Our revenues increased 16.9% over the same period in 2014. Our gross margins improved 28.2% in the first quarter of ‘15 up from 21.5% in the same period of 2014. Our earnings per share for the first quarter of 2015 increased $0.10 over the same period in 2014. This was a much improved quarter for us and we’re very pleased to be talking to you today. Our Ag sector which again is comprised of three different businesses for us, Art’s Way Manufacturing; UHC and Art’s Way International certainly had a good quarter. Starting with Art’s Way Manufacturing, our sales for the first quarter of 2015 were $4,765,000 in comparison to $2,783,000; this was an increase of $1,982,000 or 71%. Last year in that first quarter, we really, really struggled. We were having a very harsh winter; we had a lot of production delays due to employees not being able to make it in; increased utility costs. So, much more in the norm this year for us here in Iowa anyways. And our manufacturing efficiency was up significantly, not only due to weather but due to changes that we’ve made throughout the year, in our staffing and in our management crew. So, our efficiency and throughput were much improved in this quarter over last year. Last year our efficiency in Armstrong was about 53%; this year we’re running 74%. So that was a significant increase that certainly helped to contribute to our increase and income before tax. For the first quarter, our income before tax was $597,000 compared to a loss in the first quarter of 2014 of $431,000, an increase of $1,028,000 for the quarter. Our backlog at Art’s Way Manufacturing as of March 27, 2015 is $6,184,000 that’s compared to last year in March at $8,346,000 that is a decrease in our backlog of just over $2 million. That is in part due to our increased throughput and returning sales to revenue much quicker than we did last year. We also sold three self-propelled beet harvesters last year and this year, we’ve only sold two self-propelled beet harvesters. So that’s about an $800,000 difference with just that machine alone. However, the upside is that those are sold through us to dealer and have relatively low margins and the backlog that we have now will have higher margins associated with it accordingly. UHC, our operations in Ames, Iowa’s sales for the first quarter were $214,000 compared to $1,021,000. This segment has really, really felt the effects of the downturn in the Ag industry, especially related to the self-propelled equipment such as combines and swathers. Over 80% of our sales were going into OEM manufacturers; so it’s been a tough goal for us here. We have changed our marketing approach and are now marketing more to dealers, selling aftermarket reels and replacement reels as opposed to those OEM customers. Our loss before taxes in the first quarter is $140,000 compared to income last year of $147,000. Our backlog at UHC is sitting at $157,000 compared to $543,000 last year. We did go into a full layoff for the months of January and February in our Ames location. Art’s Way International which produces our Snow Blowers up in Ontario, Canada had sales for the quarter of $420,000 compared to $694,000; this is a decrease of $274,000. We know that this business is going to be highly seasonal due to the fact that you’re really only selling it when it snows. So, when we look at these numbers, we had a very strong fourth quarter of 2014. We had been able to go out and run early order programs and get the orders in and then go ahead and deliver them in that fourth quarter when we really want to have the equipments sitting on the dealers’ lots. In the prior year, we really were not able to do this because we had just completed the acquisition and we’re getting on our feet, so we were not able to build-up that inventory. So we had more of a trickle out effect of Snow Blowers in the prior year. So at this point, we’re starting to build the inventory for the next selling season, and their productivity and efficiencies are improving in that facility. But again, we would not look for high sales until the third quarter and fourth quarter of this year. Our income before taxes for Art’s Way International for the first quarter was a loss of $70,000 compared to $49,000 in the prior year. The backlog at Art’s Way International is $15,000 compared to $62,000 in the prior year. So, our total Ag segment had sales in the first quarter of $5,315,000 compared to $4,441,000, and our income before tax for the first quarter was $399,000 compared to a loss of $240,000, an increase of $639,000. Our next segment Ohio Metals had sales for the first quarter of $797,000 compared to $911,000 or a decrease of $114,000. Our primary customers for this segment are in the oil and gas industry and that industry certainly has been struggling here in the last few months. We did reduce overhead at this facility in January. So, we look forward to the next quarter where that decrease in overhead should really help us out for the entire quarter. Their income before tax was a loss of $14,000 compared to $66,000 of income in the prior year. Their backlog is at $586,000 compared to $379,000 last year. Our Vessel segment had sales in the first quarter of $527,000 compared to $424,000, an increase of $103,000 or 24%. Their income before taxes was a loss of $67,000 for the first quarter compared to a loss of $40,000 in the prior year. And their backlog is at $442,000 compared to $572,000 in the prior year. Our Modular Building segment had first quarter sales of $650,000 compared to sales of $462,000 in the prior year; this is an increase of $188,000. Our income before tax for the first quarter was a loss of $73,000 compared to a loss of $129,000 in the prior year. Our backlog at the modular building segment is $79,000, compared to backlogs of $382,000 in the prior year. Our consolidated sales for the first quarter were $7,289,000 compared to $6,237,000, an increase of $1,052,000. Our income before tax was $245,000 compared to a loss in the prior year of $343,000, an increase of $588,000 or 171%. Our consolidated backlog is $7,000,460 compared to $10,272,000 in the prior year. Marc, with that I’ll hand it over to you.
Marc McConnell: Thank you. Obviously based on the numbers that Carrie has given you, it was quite a mix bag but on the whole it was a much, much improved quarter. We’re really happy to be about $588,000 pretax, ahead of where we were at this point last year. So really it’s been great to have the strength going on with the product mix that we have in the manufacturing segment and that helps us to weather the storm in some of these other sectors where there are cyclical issues. I just want to touch on few other things happening in the first quarter that were of significance. We introduced new 6140 Grinder Mixer which -- that the whole grinder mixer product line is really what’s been helping us a whole lot and we have -- this is quite a timely introduction for us that should aid our sales to size -- it’s between two other sizes that we had and we felt like there was a little gap in the marketplace that we weren’t meeting and so we’re there now. And we’ve had excellent feedback on that and that was released here in the first quarter. We did that at the Louisville Farm Show which was a big success for us and also that’s a show we’ve been to forever. But we also for the first time really made a large commitment in going to large farm show at Tulare in California. We’ve previously not had much activity there, but it’s a -- they claim to be the biggest farm show in America and have a lot of international traffic as well as California local market traffic that we have not really participated in, in the past. And we got a lot of good feedback and sold the show units that we had set up to new dealer. We really feel like we picked the right year to go. And it’s a huge dairy state and they should have good interest in our products. And so we were fortunate to find that after going out on a limb to do it. So that’s good and we’re working on, still working on taking advantage of all that. Had some challenge in export here with the exchange rate as we all know. So that’s perhaps been bit of an impediment during the first quarter. But we had other good news as announced previously, Amber Murra was named CFO in the first quarter and we’re pleased to have her now in that position and also good news Art’s Way Scientific was recognized by the Modular Building Institute for an award and Dan will talk about that little bit. Overall, for looking at how we feel about the year in general and going ahead, we continue to feel pretty good about where we are particularly in the Manufacturing segment, the Ag sector. The particular product mix that we have right now looks like it will be the same mix going forward and that’s a good a gross margin mix. And so we feel pretty good and steady there with steady orders and we’re producing efficiently and just doing well. Dan will talk bit about what’s going on at scientific. And in our other segments, Vessels and Ohio Metal, obviously we’re struggling there but we’re making significant changes that we think will help ourselves quite a bit and this can take a little while for that to show up. I’m not sure that second quarter is going to show materially different. But on the whole, we expect that we’ll continue to be good and profitable here forward and probably have somewhat similar performance in the second quarter. We hope based on the factors that are at play in the markets that we’re in. We feel pretty good about where we’re at but obviously we’ve got work to do, particularly in the sectors that are currently not contributing profit wise. But like I said, being $588,000 pretax ahead versus last year is a huge first step towards having a much, much better year than last year. So I just wanted to tell you about that little bit and net positives is quite good. So, I would at this time turn it to Dan to talk about Scientific.
Dan Palmer: Thanks, Marc. Well in spite of the fact that the numbers that Carrie showed with us this morning, I’m still optimistic about our year. First of all, let me tell you about why we’ve had a hiccup. A large anticipated order that we were working on for Boehringer Ingelheim and Fort Dodge, went away and primarily because an architectural firm convinced their upper management that conventional construction is a better way to grow than modulars, in spite of the fact that we have around 20 modulars already at that site. So, this was a dilemma that we faced and that we compete with architect sometimes, because architectural fees go away when we bring the value of turnkey construction to them. So, it’s a disappointing development. So we’re hustling now to bring ourselves back into the markets that are strong. As Marc mentioned, we were awarded an honorable mention second place in the permanent modular special applications division at the Modular Building Institute Annual Convention a couple of weeks ago, that was for our project at Iowa State University which has some unique filtration systems and for agricultural animals that are used in biomedical research and we’re really happy with that. And that’s already opened up some doors for us. And speaking of the Modular Building Institute, two years ago we got a first place award for our Stanford University School of Medicine project and that has lead us to some meetings with Harvard University on a similar type of project. The architects on that job have told us clearly that our ability to work with Stanford and a large contracting company, the way we did with Whiting Turner has certainly brought us credibility. And this is the type of the job that we don’t have to bid to compete on but that we go in with our product and our expertise. International opportunities continue to pull us towards Brazil and Qatar and Korea, and primarily in laboratory animal sciences. The laboratory, straight laboratory business, we’re losing some of that. We lost a job to -- for the U.S. Navy in Peru, Southern Research Institute in California and U.S. Army in Korea job on price. It appears as if those who are competing with us in the laboratory only business are buying that business. And so we don’t go there. Our funnel remains strong with an influx in calf housing buildings, the success has been great there. We went through a tough winter with a number of new calf bond [ph] projects and death losses at nearly zero. So we’re really experiencing a great deal of interest in that product and we’re doing a lot coding. We’ve had an influx in bid jobs recently for laboratory and animal science buildings that are coming up in Late April and early May. So my team here are watching and following those and attending pre-bid meetings and getting ready to put in a bid on that. The food and safety testing laboratories market; our proposition of bringing the lab to the sample rather than bringing the sample to the lab is gaining some speed. We have one key client who has a modular building and the manufacturing plant right now, and has sites on multiple units. And with that in mind, so as to not steal the funder that I expect to bring to the marketplace in April, we’ll introduce the project and the proposition at a talk at the Food Safety Summit in Baltimore Maryland in late 2015. I am really excited about that. And current and anticipated marketplace within the last couple of weeks, we’ve seen a recent fracking rule requiring that companies who drill on government lands to disclose and monitor what chemicals they are using in that process, fracking process has already brought some folks to knocking on our door about the possibility of using laboratories at fracking sites. So, we’re looking forward to that. I feel like with that market opportunity that we’ll need to look towards smaller units that are perhaps more temporary and perhaps more transportable. So product development on the horizon there. We at the end of February, we’re completing our last six jobs that have a market value of about $1.5 million. Things are going well in that regard. Cost containment is in place to ensure that we’re getting the profit that we can get out of this and cover fixed cost. With that, I will turn it over to Mr. Ward McConnell for questions and answers.
Ward McConnell: Thank you Dan. I am ready to take any questions.
Operator: Ladies and gentlemen, at this time, we will conduct the question-and-answer session. [Operator Instructions]. Our first question comes from Sam Rebotsky from SER Asset Management. Please state your question.
Sam Rebotsky: Good luck Marc in the future as the banner gets transitioned to you.
Marc McConnell: Thank you.
Sam Rebotsky: As far as the backlog, could we talk -- I didn’t understand what the backlog is. Did you address what the -- you said it $6 million versus $8 million. Do we expect what is the timeframe of this backlog to be completed?
Carrie Majeski: Our current corporate backlog is $7 million right now compared to $10 million. And we certainly always like to have a backlog but we do have sales that are coming in all the time as well. So even our Ag backlog is down about $2 million right now, a large portion of that is due to the fact that last year we sold three self-propelled beet harvesters and we currently have only two of those units sold this year. Those units are a high dollar unit. We purchase them from overseas, bring them in and sell them to our dealers. So there is a very narrow margin on those units. So we look at that in terms of good news because the backlog that we do have our own products that will be sold with higher margins, but that is one factor as to why our backlog is down, the amount that it is. The other is the fact that our first quarter was so horrendous last year and we just were not able to produce anything and get it out the door. So this year’s backlog is probably more indicative to past results. Our backlog was a little bit inflated because we didn’t convert any of our sales to revenue. We didn’t get it out the door. So, it was a little bit inflated last year compared to where it is right now. We do still have strong backlog for our grinder mixers and with the new introduction of the 6140, we are seeing increased sales for our grinder mixers. And that product has really, really strong gross margins for us.
Sam Rebotsky: But I presume you expect this to be completed before the end of this fiscal year and is it expected to be heavier loaded in the next quarters, or is it evenly completed on a quarter-to-quarter basis?
Carrie Majeski: Well historically, our fourth quarter isn’t our stronger quarters. So, I think you can anticipate that backlog moving out the door in the second and the third quarter, some of the equipment and there is the harvesting equipment. The beet market overall is still down for us, but we do have some sales on the books right now, but will be delivered in that third quarter.
Sam Rebotsky: Now, when we look at the May 31 quarter last year and presumably, the May 31 quarter this year will be larger in sales than the current quarter. Do we expect improvements in margins over last year going forward?
Carrie Majeski: I think that we will, we are continuing our efforts to improve our efficiency and productivity and so that always contributes positively to our gross margins. So, I do think that we will see increases over last year’s numbers, but in terms of having such a massive increase that we had in the first quarter is probably not realistic to look for those kinds of improvements.
Sam Rebotsky: And as far as the marketplace, as far -- do you have a stock buyback in place, a corporate stock buyback?
Ward McConnell: No.
Sam Rebotsky: No. With the pressure on the stock and the book value in the $4 area and even though you’ve been making acquisitions which takes time to integrate that, would you consider a buyback; and number two, would you consider a 10b5 plan for offers to buy stock in the open market?
Ward McConnell: I would say we’ve talked about stock buyback programs and if we kind of have those open discussions, we won’t have anything that’s imminent or even likely at this point. But we’re open-minded to that. Particularly if we were sitting on excess cash that would be more natural as it is right now; we have a good deal of focus on reducing our short-term borrowing. So that is a bit of a mismatch. But where the stock price is certainly backs the question about buybacks. As to second part, no there is nothing in discussion with that.
Operator: Our next question comes from Roger Miller from Frontier Management. Please state your question.
Roger Miller: Well, I’d like to make a statement first. With the limited amount of shares, I just don’t see it feasible doing a stock buyback at this time. And why don’t we go over to the debt position first? The company’s been reducing debt and how much is the debt at this point?
Carrie Majeski: Right now, we’re just under $4 million on our line. Our total long-term debt is $5,622,000.
Roger Miller: And the short-term debt?
Carrie Majeski: $3,473,000 on this filing.
Roger Miller: And you had earnings of just little over $0.5 million this quarter, right? Is that correct or…?
Carrie Majeski: That’s correct.
Roger Miller: It looks to me like you’re in pretty good shape and as far as -- let me talk to Dan Palmer. The scientific division, you went into fracking oil -- for these labs that you’re -- for the new laws that have been in place for fracking that are just recently enacted. Would you lease these units or sell them?
Dan Palmer: I’d do either, honestly. What we know most about it right now, you know Roger is that, it a rule that affects 16 states and it is for companies that are drilling on government land at this point. So what that would lead me to towards would be to think that that’s going to hit federal biz ups, not be negotiated work and we have executed a couple of leases with federal agencies. A little bit more difficult that an actual purchase, so I think we’d start with the purchase and go that way. But if the regulations come down such that it requires the companies to put data -- communicate data from the ground water, back to the government then those companies who’re actually doing the fracking -- now that opens up a whole lot different market for us. So in other words if it’s a regulatory agency who is monitoring something it’s a different story, than if it’s the company self-policing what they’re doing and sending in reports. One vehicle of acquisition then becomes a federal acquisition accent. We have to follow FARs and they have to put it out to bid and with the individual companies, they can kind of do whatever they want, put you under a competitive bidding situation. But not regulated by the federal government acquisition laws.
Roger Miller: You had almost expected, though this is federal guidelines, that it was spread to some of the states too. There’s been so much controversy, New York as an example because of the ban they have there.
Dan Palmer: Yes, I agree. Of course oil and gas is lobbying and there has been lots of push back on the legislation. So, generally what happens is after it’s imposed, people get use to the idea. Obviously, the consumer or the advocacy groups for ground water pollution or for clean water are pushing really hard to get some kind of legislation in place. I don’t know where this will go, it just seems that there’s a potential opportunity for us to be in that monitoring part of the equation. My guess is that people who do testing will jump all over this as to offer a service, that can collect those results and put them out to the -- in a government reporting form. So there may be a third vehicle and that’s what we’re approaching or that’s how where we’ve been approached by independent testing laboratories who want to have some onsite capability.
Roger Miller: Yes. I would expect it too, the demand for it would be overnight and will definitely tax you in manufacturing when it hits.
Dan Palmer: Certainly, but it’s the same as like with [indiscernible] for instance. There was a big push but then really no vehicle created to do an acquisition and so other countries took advantage of that before we could really even get on to it because they work through emergency funding and got laboratory resourced from out of the country. We just couldn’t get there quick enough with -- unless you’re going in as a humanity effort and you’re giving them free laboratories which were not in the business of doing. There was no vehicle to get those acquired and get them to those places in the world, quick enough.
Roger Miller: Well, this is 100% different, it’s not even close, because first of all we’re talking about our water supply right here in this country. And it’s definitely an amazing amount of controversy around what the oil companies have been using and for the most part this has never been revealed. In fact even in the state of Ohio they opened up all the land for fracking in the State owned and then they pulled back on that somewhat. So we’ll see what happens. I think if you put labs out there and you do testing that actually enhances the oil industry, gives them credibility that they are doing something safely and it probably assumes a role that the environmental people will have to push back on their thinking.
Dan Palmer: You would think so, and I agree with that, and that’s kind of the model that the food safety people are following. They are out there preempting any kind of rig and trying to get out little bit, I would hope that’s the case but if you hear something let me know because I’m getting information from people, CBS news and I’m getting department of interior information and et cetera and it’s really not clear and as you know with these new stories, it’s about who gets out there first and the stories don’t even match up. So we’re looking for a partner who’s in the middle of that Paul, to try to help take us there.
Roger Miller: Well you would assume the partner would be the oil and services companies.
Dan Palmer: And at this point all we know about it is the department of the interior.
Roger Miller: And they want to justify the oil service companies that their needed, more so than just drilling I believe.
Dan Palmer: And it says there is comments out there that is political and then some that is not political. In running a business you try to figure out where you hit your wagon.
Roger Miller: Well you need insurance and that’s what you would be providing.
Dan Palmer: Yeah and we’re risk averse, so we just don’t jump in everywhere we don’t want to give these things away, we have to develop the technology to respond to the marketplace and quality is our first and foremost mantra, we can’t take junk out there.
Roger Miller: How many -- let me change how many more shows you have to do this year? That you are scheduled?
Dan Palmer: Probably like seven or eight.
Roger Miller: And of these shows the results in the past are you getting anything beyond the universities at these shows?
Dan Palmer: It depends upon which market we go into. The university markets are the laboratory animal markets, generally and yes we have to continue to support those. Food safety is emerging, we’ve taken marketing money from animal labs and put it to food safety in both our printed advertising or Web site and in the shows that we attend and we’ve gotten the most response and most excitement out of those. And then the third thing Roger is that we are co-marking with our colleagues at Arts-Way Manufacturing on the agricultural side, and we’ve seen some good response to that. So we’re doing some Arts-Way Scientific and Arts-Way other products representation at farm shows. Actually, it was one of the -- as Marc mentioned the [Teller] shows was one of those collaborative efforts to go out there and try to get our agricultural products married up with dairy market along with our calf barns and we consider that to be successful. So tradeshows are not -- we don’t schedule 14 tradeshows and that’s what we do every year, all the time without changing them up. We do an analysis at the end of every year and figure out what we got, what we spend and where we need to go. And we’ve cutout five laboratory animal sciences, small shows in order to fund without a budget increase, the food safety effort, that way it’s scientific. And I have no in right now to the oil and gas in a tradeshow venue.
Roger Miller: Well I guess that’s somewhere to look isn’t it?
Dan Palmer: You bet; you are right.
Roger Miller: And the fact remain oil, no one knows where it’s going. If you listen to what they predict $15 a barrel or 70 or 80 a barrel, you have to find a mean and I would expect it’s going to be at a reasonable level, no matter what happens politically and the bottom can’t fall out for very long, the demand is there.
Marc McConnell: All I can do is watch those trends and try to react to them. I’ve been confounded by what has happened with fracking and with oil in the last six months, I didn’t do what I would have ever expected it to do. So we just grab that the tiger by the tail and try to respond wherever it’s going to take us.
Roger Miller: And as far as the fracking industry goes, it looks like there will be a lot of consolidation there. So the larger oil companies will definitely take advantage of smaller ones whether it be the short run or the long run. They’ll be adding to reserves and that’s the easiest way to do it. And in this country it’s probably the most cost effective. Simply want to talk about vessels, last I heard you were putting inventory on the floor so you could get results on demand, how has that come along?
Marc McConnell: It’s working quite well, we were able to make some cheaper and hold them and deliver quickly, it’s still in its infancy though. I don’t know the number of tanks resolve, but it’s rather significant.
Carrie Majeski: And we’re just starting an ad campaign for those tanks and doing some advertising and we’ll be launching a new Web site here shortly that will certainly draw people into stock type tanks and exchange tanks. So, we’re hoping that some of those marketing efforts will start paying off for us there as well.
Roger Miller: Can you put tanks on these farm dealers?
Marc McConnell: No.
Roger Miller: They can’t resell them.
Marc McConnell: They could -- we’ve never offered to.
Roger Miller: You don’t see that as a need?
Carrie Majeski: I think lot of the tanks that are used on the farm whether it’s to store chemicals or fertilizers there are more of the plastics as oppose to steel fabricated tanks.
Roger Miller: And has the drought affected sales of tanks in California at all? Or is that’s not your market?
Carrie Majeski: Most of our tanks are sold in the Midwest and they go into industrial use.
Roger Miller: Have you ever thought about taking these tanks to enter these shows, when you do the farm shows just to see what would happen?
Marc McConnell: We haven’t done that, perhaps it’s a good idea.
Roger Miller: You wouldn’t have to take a major tank, just as minor one. I mean I am just wondering if throughout the country, is vessel’s well known or is it a secret? That’s the big question, now that you’re opening up a Web site on demand product always increases sales. In tools, it was stated the oil and gas industry down, it’s hard to dispute that and in the past you had high healthcare cost I believe that’s been reduced?
Carrie Majeski: It’s going to be difficult for us to reduce our high healthcare cost because we do have a union there and it’s a union package. So it really depends on who is utilizing it and how much they are utilizing that. Our overhead reductions were due to reduction in staff.
Roger Miller: And that reduction in staff is because of the downturn in the industry?
Carrie Majeski: Well that and just due to the fact that we purchase them and we have corporate staff available. The president there, Paul, is the one that has been reduced and he was their accountant and he did all their accounting, that’s one of the thing that we always bring in-house when we do an acquisition. Just from the corporate structure that those are skill sets that we have here, I mean it’s much easier for us to do that reporting here in Armstrong, as opposed to out at the facilities.
Roger Miller: Yes, that would be verifiable. So going forward, is Ohio -- are they coming up with some new product line or new drill bits or anything?
Carrie Majeski: Yes, we’re actively working on that. Right now, most of their tools are used in pipe cutting and we’re certainly aggressively seeking to expand the offering of tools that we have.
Roger Miller: I saw that one time there was something that do with Ag equipment and the tools.
Carrie Majeski: That will be a new product. We have looked at putting carbides on teeth that go through the ground on some of the Ag related equipment. Some people are looking at carbides on chainsaws. All of those things are kind of opportunities for us.
Roger Miller: So going forward, it appears you are not in the process for making any acquisitions, is that correct? Or still looking?
Marc McConnell: I’m still looking at some strategic thing that would possibly work for us.
Roger Miller: And they would be funded by?
Marc McConnell: It would depend on the size of the opportunity, but historically we’ve done some of it just with line of credit of course and right now we’re using a good bit of that. But if it were something of more significant we would need to seek another route.
Roger Miller: But at the present time you have no plans of it -- of issuing any additional shares do you?
Marc McConnell: We made no decision into do that.
Roger Miller: Okay. I would assume that because of the good quarter that you’re paying down debt right now, right?
Marc McConnell: Trying to, yes.
Roger Miller: And by next quarter, you expect sells to be where? Compared to last year?
Marc McConnell: Compared to last year, I would say -- there’s been lot of discussion about that but I would think perhaps in that vicinity, I wouldn’t say it’s going to be a heck of a lot more. I think we can probably execute those sales more profitably. But it’s still hard to say right now.
Roger Miller: Right. I’m just looking at the long term picture of the company and as I look at the rest of the farmer equipment manufacturers, this quarter you did really well in agricultural sells and profits, so you’re standing out compared to the larger competition and the reason is because your more into niche items, is that correct?
Marc McConnell: Well it’s that more of our products are really driven by livestock and dairy, whereas the big stocks that you would follow are really driven mostly by large grow crop activity, combines and tractors and in that it’s just they’re experiencing tough time and UHC which is more tied to that driver is experiencing very tough time. So it just a different part of the broad Ag world.
Roger Miller: And going forward, what is your vision for the Ag industry as far as these row crops? And do you expect the corn and beans to stabilize?
Marc McConnell: Well that’s -- wish I knew the answer to that. We know it’s cyclical, it’s always been cyclical, but I would expect to probably stabilize somewhere north of where it is now, at some point, but it’s just really hard to say.
Roger Miller: Your stock price seems to be tied to what the others are doing instead of what you are doing.
Marc McConnell: Yeah it does.
Roger Miller: And at times it’s frustrating, and I’m telling you this from a personal experience. So, anyway congratulations, I was very happy with the profit shown and I think you should keep pushing vessels and take my suggestion or consider taking it to some of the tradeshows even though if it just takes up a small space with some kind of printed handout, you might be surprised that what it might generate. And as far as scientific goes we’ll wait and see what happens in the fracking industry and with the labs going forward. I think Dan Palmer is very qualified to lead the company in that division. And that’s all I have today.
Carrie Majeski: One thing that I’d like clear up here, Roger, when you asked about what the income was, the number you stated was really the income from Arts-Way Manufacturing before tax. Our consolidated income that we’re reporting on, which is in the news release and will be in the 10-Q consolidated after tax is a 168,000.
Roger Miller: Right, okay. You’re correct and I’ve been under the weather a little bit, I’m in Las Vegas now and this isn’t the place to be under the weather. But it’s my home away from home and where I stock to conventions and make sale. So that’s why I push you into going to more trade show all the time. I think they are successful in hands-on experience meeting people.
Operator: We have a follow-up question from Sam Rebotsky. Please go ahead sir.
Sam Rebotsky: Hi, gentlemen and Ms. Carrie. It’s very positive all the acquisitions you have made and you really have run this company very well over a long number of years, it’s not just one year. Of course I know your stock has had risen and falls and you really have run the company well. The key would be if you could get a major contract from scientific that would sort of solve the problems, that’s been unfortunate that has not happened. And one other -- with the fact that you have 46% of the stock is closely held, I could understand it’s difficult for the company to buy the stock although it would be helpful to show the marketplace that if nothing else, that the management, even though they have a lot of the stock to step into the market. Do we have any plans to tell the story more so people know what you are doing? Because I feel the stock, where it’s trading at, it’s been down to the 4.5 area and there was still continues selling. I think if you would tell your story a little more, that will let people know what you are doing and what your plans are. I would think with the fact, with the book value of $4 and the profitability and the dividend that you’ve had over the years, there would be more of an interest in the company. Do you have any thoughts on how to tell your story and tell people what you are doing?
Marc McConnell: I would say in the past our view might be clouded by the past, and that is because in some years past we decided to do little more investor relations type work and going to -- we didn’t do road shows exactly but we did go to small cap conferences and things like that to try to tell our story. And we came away with a bitter taste in our mouth for a variety of reasons, but for the most part it seemed that in our size it was hard to get anybody very interested in the absence of big story to go out and tell that you then have to live up, that becomes a little bit difficult because everyone are lost -- are looking for the huge growth and in a way we may not be ready just yet for something that’s explosive. Coming to more current times, we haven’t been as eager or excited to do it because we were in the midst of lower profit years, really last year was profitable but it wasn’t one that we would go out and brag to everyone about and we’re just coming off that now and honestly we think our story is better. But I think particularly when we have better traction and more progress on the Art’s Way Scientific projects that really could help us breakout, I think that will be more right for us because a lot of that is about timing because if you go out and your story isn’t -- if you’re not the right time in the story, it’s not a good time to tell it for that crowd. Beyond that we need to do or continue to do regular press releases about all the activity that we do have and that helps in some way. But we’re open to other ideas about how we can make the world aware that we exist and that there is a story here of our 13 profitable years in a row, and dividend, and growth opportunities, and diversity and some attractive sectors even if some of them are attractive this year or last year, but we’re open to ideas.
Sam Rebotsky : Well one other things I see clearly is the fact that there are only 4 million shares outstanding, a 10% stock dividend on a yearly basis would create a little more stock in the marketplace that would be helpful and has there been any thoughts on that, a stock dividend?
Marc McConnell: We discussed that at the time that we met about the dividend that we recently paid and there are pro’s and con’s to it, but we did discuss it and we’re open to that and it’s in our discussions, but maybe that’s more appropriate next time around.
Ward McConnell: It is general item for the next Board meeting Marc.
Sam Rebotsky : I would say that’s been -- I know generally speaking on a regular basis, a stock dividend of the 10% nature it sort of -- its lost in the stock price eventually, in other words there are the shareholder who will eventually have 10% more shares and really the price of the stock will -- in other words it’s not diminish by 10% over a period of time. One other thing it would be sort of helpful, when you release your earnings as you did today, it would be helpful either to have a balance sheet or since the -- like the last time you filed your 10-Q a day or so later, the more information that’s available before you’re having the conference call, it’s very helpful so that you could -- even though you deal with everything possible but there would be -- you could look at the current numbers more intelligently and discuss them a little more if they were in front of you. So that’s basically what I have and clearly it’s good with the Annual Meeting April 27th and probably the Board Meeting, you could sort of discuss stock dividend on a regular basis or because right now there seems to be seller with only 2 million in the float, there seems to be stock that seems to want to come out even though with your good earnings, the stock moved up and then it backed off. So you sort of have to find somebody else that want to accumulate your stock.
Marc McConnell: Well on the point about releasing more information, we’ve discussed that a bit and I would expect at the second quarter earnings call that more will be provided in advance to that.
Sam Rebotsky : That’s good. Well good luck and taking up the reigns and Marc you’ve -- Ward you’ve really done a good job and Art’s Way has been a good company all along and you’ve taken the opportunity to find acquisition and consolidate and hopefully other people will be aware what’s happened with Art’s Way and what the future is?
Marc McConnell: It’s going to very good hands.
Sam Rebotsky : I’m sure. Good work, going forward.
Marc McConnell: Thank you. No more questions?
Operator: There are no further questions at this time.
Marc McConnell: Okay. Thank you very much for listening to us today. We’d love to have you come at the Annual Meeting on the 22nd in Armstrong. Anyone who could make it would be welcomed. We’d like to show you the facility; we’ve changed the facility and improved it quite bit since the last annual meeting. And with that thank you very much for my tenure with this and wishing Mark good luck. With that, I signoff.
Operator: This concludes today’s conference call. Thank you for attending.